-:
Operator: Welcome to the CIBC third quarter results conference call. (Operator Instructions) I would now like to turn the meeting over to John Ferren, Vice President, Investor Relations.
John Ferren: The purpose of our conference call this afternoon is to discuss CIBC’s third quarter results, released earlier today. The call is being audio webcast and will be archived later this evening on cibc.com. This afternoon, CIBC’s senior management team will discuss our third quarter results and provide an update on CIBC’s business priorities. The investor presentation for today’s discussion is available on our website. Following the formal remarks there will be a question-and-answer session and I would ask that you limit your questions to one or two and then re-queue so that we can get to as many of you as possible. Before we begin, let me remind you that any individual speaking on behalf of CIBC on today’s call may make forward-looking statements that are subject to a variety of risks and uncertainties. Certain material factors or assumptions may be applied, which could cause CIBC’s actual results in future periods to differ materially from the conclusions, forecasts or projections in these forward-looking statements. For more information, please refer to the note about forward-looking statements in today’s press release. With that, let me now turn the meeting over to CIBC’s President and Chief Executive Officer, Gerry McCaughey.
Gerry Mccaughey: Before I begin, let me remind you that my comments may contain forward-looking statements and actual results could differ materially. This afternoon, I will review CIBC’s third quarter results. Following my remarks our Chief Financial Officer, David Williamson and our Chief Risk Officer, Tom Woods will provide the financial and risk review. Sonia Baxendale will then cover the Retail Markets business and Richard Nesbitt will discuss World Markets. This morning, CIBC reported net income for the third quarter of $71 million and cash earnings per share of $0.13. Our results this quarter were impacted by charges in our structured credit business although to a lesser extend then in previous quarters. Earnings, apart from these charges and other items noted in our press release, were $65. Our loan losses and expenses remain well controlled and our Tier 1 capital ratios, after accounting for write-downs this quarter, remain strong at 9.8%. In addition we today issued a preferred share issue which has added to our July 31, Tier 1 would put us at approximately a 10% Tier 1. This quarter the largest portion of our structured credit charges are due to higher credit valuation adjustments recorded against our US$8.89 billion total receivables from financial guarantors. Through July 31, we’ve recorded cumulative charges of just under US$6 billion against these receivables which of course have already been reflected in our Tier 1 capital ratio calculation. We have downgraded our internal risk ratings for our financial guarantors and therefore it is important to note that any future charges we may take against the US$2.9 billion would have a leveraged reduction in risk-weighted assets and this would therefore dampen any negative impact of future charges on our Tier 1 capital ratio. David Williamson will touch on this in detail his remarks. In this slide our 9.8% ratio, 10% with our preferred remains one of the highest among the North American Banks. In addition it is very resilient to future CVA charges against our existing receivables for the reasons that I have given you. David Williamson and Tom Woods will provide further analysis of our capital strength in a moment. Turning to our business results CIBC retail markets reported net income of $572 million up 12% from last quarter and down 4% from a year ago. Excluding these gains and losses revenues were up 3% from the last quarter and down 2% from a year ago. In light of the more difficult market conditions than a year ago particularly for our retail brokerage business, the retail business had solid performance this quarter. In core retail marketing was down 2% from a year ago due entirely to lower treasury revenue allocations. We continue to achieve strong year-over-year volume growth particularly in cards and deposits while maintaining market share in what continues to be a highly competitive marketplace. In the area of personal lending our market share has stabilized after a period of decline in recent years, while we shifted our portfolio mix towards secured lending and a lower risk point. For the second consecutive quarter we had growth in our unsecured personal lending volumes, though we are taking a very measured approach to credit given the current environment. Credit quality for our retail loan portfolio overall remains strong and solid. While retail loan losses were up $22 million from last quarter, this was affected by strong growth in our cards portfolio and an increase in provisions from the expiry of previous cards securitization, Sonia Baxendale will comment further on our retail performance and priorities in her remarks. CIBC World Markets reported a loss of $538 million for the quarter, this included structured credit charges of $596 million down from $1.67 billon last quarter. Result outside the areas structured credit were better than Q2, but down from the third quarter of last year. Many areas of our wholesale business continued to be impacted as expected by much lower industry activities than a year ago as well as our desire to maintain a conservative risk posture in this environment. Our corporate loan portfolio continues to perform well with reported loan losses at $7 million for the quarter. Activity continues to reposition our World Markets business from more sustainable performance in the future, Richard Nesbitt will comment further on our World Markets business performance and priorities in a moment. Let me now provide an update on our actions to reduce risk within our structured credit run-off business. In the area of U.S. subprime exposures hedged by financial guarantors, we reduced notional exposures hedged by ACA by $436 million this quarter through the termination of credit derivative contracts. In addition, normal amortization of subprime and other exposures hedged by ACA and other financial guarantors contributed to a further $292 million of notional reductions. We have downgraded our internal risk ratings for our financial guarantors and therefore it is important to note that any future charges we may take against the US$2.9 billion would have a leveraged reduction in risk-weighted assets and this would therefore dampen any negative impact of future charges on our Tier 1 capital ratio. David Williamson will touch on this in detail his remarks. In this slide our 9.8% ratio, 10% with our preferred remains one of the highest among the North American Banks. In addition it is very resilient to future CVA charges against our existing receivables for the reasons that I have given you. David Williamson and Tom Woods will provide further analysis of our capital strength in a moment. Turning to our business results CIBC retail markets reported net income of $572 million up 12% from last quarter and down 4% from a year ago. Excluding these gains and losses revenues were up 3% from the last quarter and down 2% from a year ago. In light of the more difficult market conditions than a year ago particularly for our retail brokerage business, the retail business had solid performance this quarter. In core retail marketing was down 2% from a year ago due entirely to lower treasury revenue allocations. We continue to achieve strong year-over-year volume growth particularly in cards and deposits while maintaining market share in what continues to be a highly competitive marketplace. In the area of personal lending our market share has stabilized after a period of decline in recent years, while we shifted our portfolio mix towards secured lending and a lower risk point. For the second consecutive quarter we had growth in our unsecured personal lending volumes, though we are taking a very measured approach to credit given the current environment. Credit quality for our retail loan portfolio overall remains strong and solid. While retail loan losses were up $22 million from last quarter, this was affected by strong growth in our cards portfolio and an increase in provisions from the expiry of previous cards securitization, Sonia Baxendale will comment further on our retail performance and priorities in her remarks. CIBC World Markets reported a loss of $538 million for the quarter, this included structured credit charges of $596 million down from $1.67 billon last quarter. Result outside the areas structured credit were better than Q2, but down from the third quarter of last year. Many areas of our wholesale business continued to be impacted as expected by much lower industry activities than a year ago as well as our desire to maintain a conservative risk posture in this environment. Our corporate loan portfolio continues to perform well with reported loan losses at $7 million for the quarter. Activity continues to reposition our World Markets business from more sustainable performance in the future, Richard Nesbitt will comment further on our World Markets business performance and priorities in a moment. Let me now provide an update on our actions to reduce risk within our structured credit run-off business. In the area of U.S. subprime exposures hedged by financial guarantors, we reduced notional exposures hedged by ACA by $436 million this quarter through the termination of credit derivative contracts. In addition, normal amortization of subprime and other exposures hedged by ACA and other financial guarantors contributed to a further $292 million of notional reductions. We have downgraded our internal risk ratings for our financial guarantors and therefore it is important to note that any future charges we may take against the US$2.9 billion would have a leveraged reduction in risk-weighted assets and this would therefore dampen any negative impact of future charges on our Tier 1 capital ratio. David Williamson will touch on this in detail his remarks. In this slide our 9.8% ratio, 10% with our preferred remains one of the highest among the North American Banks. In addition it is very resilient to future CVA charges against our existing receivables for the reasons that I have given you. David Williamson and Tom Woods will provide further analysis of our capital strength in a moment. Turning to our business results CIBC retail markets reported net income of $572 million up 12% from last quarter and down 4% from a year ago. Excluding these gains and losses revenues were up 3% from the last quarter and down 2% from a year ago. In light of the more difficult market conditions than a year ago particularly for our retail brokerage business, the retail business had solid performance this quarter. In core retail marketing was down 2% from a year ago due entirely to lower treasury revenue allocations. We continue to achieve strong year-over-year volume growth particularly in cards and deposits while maintaining market share in what continues to be a highly competitive marketplace. In the area of personal lending our market share has stabilized after a period of decline in recent years, while we shifted our portfolio mix towards secured lending and a lower risk point. For the second consecutive quarter we had growth in our unsecured personal lending volumes, though we are taking a very measured approach to credit given the current environment. Credit quality for our retail loan portfolio overall remains strong and solid. While retail loan losses were up $22 million from last quarter, this was affected by strong growth in our cards portfolio and an increase in provisions from the expiry of previous cards securitization, Sonia Baxendale will comment further on our retail performance and priorities in her remarks. CIBC World Markets reported a loss of $538 million for the quarter, this included structured credit charges of $596 million down from $1.67 billon last quarter. Result outside the areas structured credit were better than Q2, but down from the third quarter of last year. Many areas of our wholesale business continued to be impacted as expected by much lower industry activities than a year ago as well as our desire to maintain a conservative risk posture in this environment. Our corporate loan portfolio continues to perform well with reported loan losses at $7 million for the quarter. Activity continues to reposition our World Markets business from more sustainable performance in the future, Richard Nesbitt will comment further on our World Markets business performance and priorities in a moment. Let me now provide an update on our actions to reduce risk within our structured credit run-off business. In the area of U.S. subprime exposures hedged by financial guarantors, we reduced notional exposures hedged by ACA by $436 million this quarter through the termination of credit derivative contracts. In addition, normal amortization of subprime and other exposures hedged by ACA and other financial guarantors contributed to a further $292 million of notional reductions. Over 85% of this portfolio consists of CLOs and corporate debt securities, which despite the continued deterioration in credit market conditions during this quarter continued to be valued at $0.90 to $0.94 on the dollar respectively and whose credit quality continues to highly rated. We also reduced exposures during the quarter that were hedged by counterparties other than financial guarantors. In our intermediation, correlation and flow trading books we unwound $1.5 billion of bought and sole protection for a total reduction in notional of $3 billion. Developments within the financial guarantor industry over the past few weeks have generally been encouraging and positive with several corporations announcing results in terms of restructurings and [inaudible] and several comments by rating agencies generally being in the positive area. We are actively managing our structured credit positions and continued to assess all opportunities to reduce contingent risks in this portfolio. In the area of productivity, we continue to make steady progress. Expenses for the third quarter were $1.73 billion, down 5% from a year ago on a reported basis. Our target for 2008, which was established at the end of 2007, is to hold expenses flat to the fourth quarter of 2006, excluding FirstCaribbean and our restructuring activities. We continue to exceed that target through the first three quarters of 2008. Our focus remains on adjusting our infrastructure support activities in light of recent business divestitures. Our opportunities to maintain expense discipline in these areas should result in continued progress against our productivity targets over the next several quarters. In the area of balance sheet strength, CIBC remains very well capitalized. Our capital rate at the beginning of the year along with ongoing capital discipline resulted in a Tier 1 capital ratio of 9.8% at the end of the quarter and 10% giving effect to our preferred issue today. This is well above our target of 8.5%. As I stated earlier, this figure is lower than it would be otherwise as a result of higher RWA’s, as a result of internal down rates and RWA’s satisfied for the receivables from our financial guarantors. Our capital position is strong and prudent and we’ll remain an area focus during this period of certain market conditions. In summary, CIBC made further progress in the third quarter to addressing its challenges with respect to structured credit and getting back on track to deliver consistent and sustainable performance. While a number of businesses are currently facing a challenging market, they are well position to take advantage of improving positions as they occur. As well work is ongoing to ensure that not only where are they going to be well positioned, but they will be better position than they have been in the past. So, that as conditions improve our performance loss will improve inline and better than conditions. Now, let me turn this meeting over to David Williamson, our Chief Financial Officer for his financial review.
David Williamson: My comments also contain forward-looking statements, and I would remind you that actual results could differ materially. I’m going to refer in the slides that are post on our website starting with slide five, which is a summary of our results for the quarter. At the top right you can see the items of note included in our results this quarter. On a reported basis we generated cash earnings per share for the quarter of $0.13. I’ll provide more detail on structured credit run-off activities shortly. Excluding the items of note, our result this quarter of $1.65 cash earnings per share were helped by a higher volumes in Retail Markets and lower expenses that were hurt by lower treasury revenue and higher loan losses. Our Tier 1 capital ratio was 9.8% as Gerry said and continued to be one of the highest amongst the North American Banks. The next slide is a summarized statement of operations on a reported basis. The largest impact on results this quarter was for charges related to our structure credit positions. These positions along with U.K. based leveraged finance are now recognized separately as run-off activities led by a focused team with a mandate to manage and reduce the residual exposures. Slide seven, provides details of the $885 million net pretax losses relating to our structured credit run-off activities. These losses resulted primarily from the further deterioration in the value of underlying and a credit quality of financial guarantors due in general to continued weakness in U.S. Residential Mortgage Market. Slide eight is a summary of our financial guarantor protection purchased against our U.S. Residential Mortgage Market exposure. In U.S. dollars the slide shows that we have $7.7 billion of credit protection, which now has a fair value of $6.5 billion. We have taken credit valuation adjustments to-date of $4.7 billion and therefore have a remaining net fair value of $1.8 billion. This quarter $113 million of notional’s were amortized through the maturity or normal pay down of positions. The counterparty shown as VI has an aggregate underlying of $1.9 billion with a fair value of $1.8 billion that have been terminated. These balances need to be deducted from this chart when determining future earnings at risk. With this adjustment made, it’s the value of all the U.S. Residential Mortgage Market assets and all the value of protection from the financial guarantors both held to zero. The maximum remaining exposure would be $2.84 billion. Slide nine shows our exposure to the U.S. Residential Mortgage Market have declined over the past four quarters and provide details of the two components of the residual exposure I referred to in the previous slide. This next slide outlines the counterparty protection provided by financial guarantors where the underlying assets are primarily CLOs and corporate debt that are not related to the U.S. Residential Mortgage Market. The far right column shows the fair value of the protection with each counterparty, which totals $2.4 billion at the end of Q3. Against this balance we have taken aggregate credit valuation adjustments to-date of $1.3 billion. The increase in CVA recorded during the quarter on these positions was $768 million. This resulted from an increase in the fair value against the holdings and continued deterioration in the credit quality of the financial guarantors. This quarter we experienced the amortization of notionals of $179 million through the normal pay down of positions. While we have seen amortization in past quarters the impact was far greater this quarter especially when we combined it with the amortization I noted earlier in our USRMM positions. This next slide highlights that our Tier 1 ratios affected by the combined impact of the write-down of CVA that goes through earning and the high level of risk rated assets attributed to the residual financial guarantor exposure. Under Basle II our internal credit ratings on the financial guarantors have resulted in substantial risk rated assets being recognized, against the counterparty exposure and it is important to recognize that of higher CVA charges become necessary against the $2.9 billion of counterparty exposure that will result in a relief for these risk rated asset balances. This would mitigate the impact of those charges on the Tier 1 ratio by approximately 50% of what would otherwise occur. This is not a new phenomenon that it is becoming more pronounced due to the low ratings we’ve assigned to the financial guarantors and the result in build of related risk weighted assets to the current level of U.S. $12 billion. There are number of slides that I have covered in some detail last quarter, that address other elements of our structured credit run-off positions. Changes in these areas have not been significant and therefore I don’t intend to specifically address those slides this quarter. However, we have included the same slides in the appendix updated as of July 31, and we would, of course would be pleased to address any questions on those slides during the Q-and-A period. This quarter I intend to aggregate those product lines so that I can speak to the key drivers of retail banking, wealth management and FirstCaribbean revenue rather than the individual business units. On the slide I have combined the results of our core lending and deposit business lines and to what I will refer to as retail banking. This includes personal and small business banking, imperial service, mortgages and personal lending, cards and our retail markets and other business lines. One important point of note is that year-over-year results for each of these businesses were affected by internal funds transfer pricing allocations. Our internal funds transfer pricing system provides a liquidity payment to business units that source or provide funding and charges a liquidity cost to business units that use funding. This factor explain the revenue decline for a user of funds such as mortgages and personal lending and the revenue increased and a supplier of funds such as personal and smaller business banking. These charges and payment net to close to zero for retail banking on both the quarter-over-quarter and year-over-year basis, given internal funds transfer pricing does not significantly affect year-over-year results for retail banking my comments here will focus on results excluding the effect. Revenue of $1.67 billion was down $34 million or 2% versus Q3 of last year. We experience strong volume growth across our key retail product groups. Retail banking spreads were down slightly year-over-year as continued competitive pricing for deposits, the effect of shifting our portfolio to secured lending and lower mortgage refinancing fees were partially offset by better mortgage pricing. Card results benefited from the $24 million gain on the sale of our remaining Visa shares and overall banking results were hurt by the lower treasury revenues this quarter a portion of which are allocated back to retail and appear in the other line. Treasury revenues were down from a very strong Q3 of last year due to a more difficult market this quarter. In addition there were fewer opportunities for revenue this quarter as we have reduced limit given the more volatile environment. Turning to slide 14, we expect strong volume growth in our lending and deposit businesses. In cards, we continue to hold the number one market position in both outstandings and purchase volumes. We continue to see improvement in unsecured lending, which is up for the second consecutive quarter although we continue to have a measured approach to growth in this area given our risk posture and the current environment. Our market share improved in card and consumer deposits from last quarter and is stable in residential mortgages and personal loans. Slide 15, highlights the results of our combined wealth management businesses included here is our retail brokerage and asset management business lines. Revenue of $392 million was down $29 million or 7% from Q3 of last year and lower new issue and trading activity due to continued volatility in capital markets. In addition revenue in the asset management business was lower as mutual fund flows shifted into shorter term funds. FirstCaribbean revenue was a $165 million up $32 million or 24% from last year, about half of the increase is due to a lower internal charge as related to the cost of acquisition. Excluding the $4 million Visa gain, the remaining increase is due to growth in loan volumes, improved spreads and higher fees. Offset somewhat by the impact of the stronger Canadian Dollars. Retail markets net income was $572 million down $24 million or 4% from the prior year. The provision for credit losses was a $196 million up $29 million or 17% from last year. Tom Woods will discuss the topic in detail in his remarks, so I won’t add any comments here. Non-interest expenses were $1.38 billion, down $29 million or 2% from Q3 of last year through continued expense discipline. Turning now to CIBC World Markets, as discussed Q3 revenue was hurt by additional losses and structured credit, which are a much lesser expense than in Q1 and Q2 of this year. Excluding the effect of structured credit run-off Q3 revenue of $275 million was up $29 million from Q2 and met the continued challenging marketing environment. Looking at the individual lines of business starting with capital markets revenue excluding structured credit run-off was a $184 million versus $159 million in Q2. Within capital markets fixed income and currency revenue was up from Q2 partially offset by weaker performance in global equities. Investment banking and credit products revenues of a $134 million was up $32 million from Q2. Q3 saw higher mark-to-market gains on corporate loan hedging activities and investment banking revenues was lower in Q3 primarily due to lower M&A and advisory revenue and slower equity new issue activity consistent with the general market environment. Merchant banking results were up from Q2. We continue to expect moderate levels of earnings for the remainder of the year. Turning to World Market expenses Q3 expense of $266 million were down $92 million from Q2 due to lower litigation and severance expenses and lower performance related to compensation. All these factors lead to World Market net loss for the quarter of $538 million excluding the impact of structured credit losses net income of $58 million up $35 million in Q2. Turning now to our total expenses in our performance versus our 2008 target, our target is to hold expenses flat relative to analyze fourth quarter 2006 expenses. We have made adjustments as noted on the slide to ensure a reasonable comparison. As you will we continue to run ahead of our objective to continued expenses discipline. Thank you for your attention. At this point I'll now turn it over to Tom Woods.
Tom Woods: My comments may also contain forward-looking statements and actual results could differ materially. Slide 52, credit risk; specific loan loss provisions in the second quarter were $202 million or 46 basis points of net loans and acceptances. The quarter-on-quarter increase of $28 million was due to increases of $14 million in each of our retail markets and world markets. World markets specific loan loss expense was $11 million in the quarter. New provisions were up from the second quarter and the third quarter also incurred lower levels of reversals in the large corporate portfolio, than we experienced in the second quarter. Retail Markets specific loan loss expense was $191 million in the quarter. Cards provisions were up due to a combination of higher volumes, the establishment of an allowance for securitized balances that came back on balance sheet of maturity and slightly higher loan loss rates. This was partially offset by lower losses in personal loans. Steps taken to manage the slightly higher cards delinquencies are yielding favorable results and both delinquencies and provision for credit losses are expected to return towards more normal levels in Q4. Net impaired loans decreased to $294 million at the end of Q2 with all of the quarter-over-quarter decrease coming from the consumer portfolios. Turning to market risks, slide 53; this shows the Q3 distribution of revenue in our trading portfolios. In Q3, 67% of trading days were positive up from 53% last quarter, but down from 75% in 2007. The trading revenue here does not include the reductions in mark-to-market value of our structured credit assets as this analysis is carried out only at each month end. Slide 54; as Gerry said, the Tier 1 ratio was 9.8% or 10% pro forma today’s preferred share issue. Our capital position remains amongst the strongest of the North American banks and provides substantial caution. In the event we have further structured credit charges. Capital decline during the quarter or structured credit write-downs were partially offset by internal capital generation. The Tier 1 ratio was also negatively affected in the quarter by an increase in risk weighted assets as several of our financial guarantor counterparties were downgraded and as Gerry and David mentioned earlier, the increase in RWA’s related to our financial guarantor counterparties as they’ve been downgraded, reduces the potential impact of any future evaluation adjustments on our Tier 1 ratio. I’ll now hand it over to Sonia Baxendale, head of Retail Markets.
Sonia Baxendale: My remarks may also include forward-looking statements and actual results could differ materially. Our fundamentals of Retail Markets are sold. We had strong volume growth and maintained market share. Starting with credit cards, outstandings grew 12% year-over-year primarily due to premium card volume growth. New account growth is strong with increasing volume being sort through our internal bank channels cross-sell initiatives. In this quarter our newest premium cards Visa Infinite Gold and Aventura were rolled out to existing qualified clients. We are also increasing new client’s acquisition of Infinite cards. Credit quality remains strong. Residential mortgages continue to perform at industry growth rates with balanced growth of 12% year-over-year. In the short-term, revenue is being impacted by lower prepayment break fees as a result of increased client retention rates from prior years. With the softening in the housing market, we expect mortgage growth to decline to low-to-mid single-digits in 2009, having said that our originations activity so far is only marginally down from last year. In lending our asset growth continues to show good momentum. While year-over-year market share is down slightly, we are flat year-to-date as unsecured balances had grown over the last two consecutive quarters. Personnel balances are up 10% year-over-year, which is the strongest growth in three years. New balances continue to exhibit good credit quality with overall loss rates stable. In business banking our operational initiative to improve credit processes under enhanced lending risk policies are starting to generate increased business as small business client balances have stabilized after a significant period of decline. Deposit accounts in GICs had a strong quarter. Personnel deposit balances grew 9% year-over-year and 8.7% on GIC. As a result our combined personnel balance market share increased. Our bonus savings promotional offer was successful in increasing balances and we are retaining the majority of these balances after the conclusion of the program. In addition this quarter, we added the highly successful Aeroplan feature to our Unlimited Chequing Account. Clients can now earn monthly Aeroplan miles by consolidating their day-to-day banking transactions with CIBC in addition to receiving a welcome bonus mileage offer. Initial results have been extremely positive with new account opens up significantly over the same period last year. Mutual funds continue to be impacted by volatility and global equity and fixed income markets. As investors continue to be cautious, mutual fund flows are primarily into short-term funds. As a result in Q3, mutual funds net redemptions were $154 million. These results placed us in seventh position overall in the industry year-to-date, up from 13th position for 2007 and increasing our market share by six basis points year-over-year and 11 year-to-date. The launch of new income oriented product solutions, the addition of proven investment manager talent to our team and the expansion of our wholesaling team are key to continued growth and conversion to long-term product. In retail brokerage revenues are down 6.8% as a result of continued volatility in the capital markets and lower new issue activity and in distribution overall we continue to make progress in our strategy to improve client access and experience in all of our channels. We opened three new branches this quarter, announced expanded operating hours and additional branches opening Saturday and Sunday and in July, we expanded our Montreal Telephone Banking contact center, adding capacity to make an additional one million outbound sales calls to our clients in French and English. In summary, retail market is performing well. Volume growth was strong and we maintained or increased market share in key business areas. Thank you. I’ll now pass the mike to Richard Nesbitt.
Richard Nesbitt: My comments may also pertain forward-looking statements and actual results could differ materially. I will review CIBC World Markets quarterly performance and provide an update on our efforts in 2008 as we build our business to focus on our strongest activities. I will also describe our high level priorities for building world markets franchise over the next three years. As detailed earlier, world markets recorded a loss of $538 million in the quarter. Adjusted for structured credit, net income was $58 million. As it was the case throughout the industry, market and business conditions remained difficult throughout the quarter. While we saw some improvements in Q3, this sluggish business environment resulted in flat or negative revenue growth across our primary lines of business. Fixed income in currencies and revenues improved slightly from the previous quarter. Foreign exchange continued its strong performance and fixed income trading revenues also improved slightly. This was due to increased retailer activity and participation in the government new issues. Revenues were down on our global equities business, the market where equity new issues are operating at a slow pace across the industry. In real estate finance, as I mentioned in our last quarter’s call, we are intentionally operating about half of our revenue generating capacity due to the ongoing uncertainties and the commercial real estate market in the United States. We continue to monitor industry conditions in this market and how we participate in it. We did have a revenue gain in the quarter resulting from our role as co-lead manager of a $1.2 billion offering in commercial mortgage backed securities. In investment banking, while market conditions had an impact on the number of opportunities, we continued to receive some strong advisor mandates. For example, World Markets was appointed as financial advisor to the Board of Directors of EnCana on the reorganization and spend-off of its oil assets and finery interests. We were named financial advisory to Teck Cominco on this pending acquisition of Fording Canadian Coal Trust's. This transaction is valued at $11.5 billion and includes our role as co-leader ranger and Joint Book Runner for $9.8 billion in bridge and term loans to support the transaction. We were appointed financial advisor to Saskferco on it’s $1.6 billion sale of the nitrogen fertilizer plant to Yara International, a Norwegian chemical company and we are lead manager on $288 million of financing by H&R REIT and a sole underwriter of a US $150 million offering by Central Fund of Canada Limited, that’s a quick look at our performance in the third quarter. I also want to provide a brief update on progress made during the quarter on implementation of our new strategy for World Markets. Our strategy focuses on the mission we established earlier this year. Our mission is to bring Canadian Capital Markets products to Canada and the rest of the world and also to bring the World to Canada. This is what the professionals in our business do everyday. Implementation of this strategy is divided into two components. First, the ongoing reposition of our business that will continue throughout 2008. The second, continuing to intensify our focus on our clients so we can deliver on our mandate as a premier Canadian Based Investment Bank. Last quarter I’ve described many of the initiatives taken to reposition the World Markets franchise. This work is necessary to focus on the considerable strengths we have in our primary lines of business and there are four continuing businesses in World Markets; investment corporate merchant banking, global equities, fixed income in currencies and real estate finance. This activity is the run off of assets from businesses we have terminated such as structured credit. In Q3 we completed a detailed bottom-up review of these continuing businesses. As a result of this review we moved quickly in a number of initiatives involving our trading room and infrastructure activities. We are terminating or reducing activities that are inconsistent with our mission and goals or where the rewards do not justify the risk. We are investing in activities reinforce our renewed mission and goals and provide an acceptable risk in return. For example, we are terminating certain Europe based derivatives activity, which are unrelated to our mission. We are reducing the size of CIBC’s asset backed conduit programs. We are reducing our infrastructure in London, New York and Asia. We reduced the number of employees in World Markets announcing the elimination of 100 positions in May. Overall with the excess sale of businesses since the beginning of the year, our staffing levels have been reduced by 40%. In our continuing business there has been a reduction of 14%. For the medium term our goal is to organize ourselves, so we continue to deliver outstanding service and value to our clients. To achieve this we have built a plan to focus on our strongest client relationships. These relationships are clearly some of the best in the industry. We want to solidify our reputation in the marketplace by making them even stronger. To conclude this has been a difficult year for our business and for our industry, but we have completed a lot of work to rebuild our business and there is more to be done. Over the medium term, our success will be measured by our ability to generate consistent earnings across the full business cycle. I’m confident we are on the road to achieving this goal and delivering on our mandate to CIBC and its shareholders. I’ll now turn the call back to John.
John Ferren: We are ready to take questions on the phone now.
Operator: (Operator Instructions) Your first question comes from Jim Bantis - Credit Suisse.
Jim Bantis - Credit Suisse: Just a couple of questions; when I look at the trading revenue Richard, the last couple of quarters have basically been non-existent and I can recognize that the conditions are tough and there has been some retrenchment, but I just want to get a perspective on what the capabilities in terms of the net trading revenue could be going forward under a union plan and incorporating some of the retrenchment that you’ve done in certain businesses, because what we are seeing is from other banks whether its Canadian or U.S. despite the conditions, they are still producing medium size or significant trading revenues so I just wanted your flavor on that. Then secondly just looking at slide 13, which was the retail market slide, lower treasury revenue and mortgage for financing fees were cited for the decline in 2% revenue, but if we were to adjust for these items what would the revenue growth be and would it be consistent with the volume growth that Sonia’s referring to, and I will stop there.
Richard Nesbitt: I’ll take the first question first and I’ll pass it on to the second question. I think that basically we haven’t really talked about the individual splits in the business going forward, but if you wanted to take a look at what we think we can do going forward, the total economic capital assigned to World Markets is approximately $3 billion. Approximately half of that is for our ongoing businesses and the other half is for run-off activities. The bank wide through this cycle target for return-on-equity is an excess of 20%. So, we’d expect CIBC World Markets to be able to consistently produce stable earnings to meet that 20% threshold on the capital we are using in our continuing businesses which is about half of that $3 billion. Under improved market conditions, we’d expect to be able to do better than that and somewhat higher than the normalized results that we’ve seen here in Q3. That’s as far as we’ve gone in terms of answering that question.
Jim Bantis - Credit Suisse: Richard do you feel that you’ve gone as far as you can in terms of the retrenchment; is there more businesses to close; do you see it continuing a little bit of more of a downward cycle before a rebound happens?
Richard Nesbitt: Well, we’ve gone through all of our businesses now; we’ve had business plans done by each of our businesses and the one that we had intended to close or terminate we call them, we’ve terminated; the ones that we’ve intended to keep and those are the four that I’ve talked about here, we intent to keep. So, I think that process is complete and although we have pulled back, we of course have reduced our risk posture as well as our use of resources during just this period of market instability along with the rest of the players in the industry.
David Williamson: Jim I’ll take the second part of your question, regarding the treasury results. I won’t specify the amount of the decline in treasury revenues, but I will give you a sense of the, quantification to a degree or at least give you a sense of the magnitude. So, first off you refer to slide 13, where the allocation from treasury effects retail through the other line and you will see that decline from 149 in Q3 of last year to 106 in Q3 of this year and I would say that all of that all of that and more was in relation to treasury revenue allocations. So, when you look at the decline quarter-over-quarter of $34 million and that’s obviously more than taken care by the decline in treasury revenue. I guess I would say just to more talk about declines in treasury revenue, just to give you a sense that Q3 was a particularly strong quarter for returns on the treasury fund zone in relation to interest rate positioning and in this quarter, not surprisingly it’s a tougher market to successfully take views on interest rate movements; in fact given the volatile market we’ve reduced limits, so that just reduces the ability for our treasury team to generate profits. So we are still profitable; this quarter we’re just taking about a comparative reduction in treasury revenues. So, that’s were it shows up in other and it more than compensates for the difference between those two year. I think Sonia might restart her comment.
Sonia Baxendale: So, Jim just to add to that, when you take all of that noise out, the year-over-year revenue in retail would have been about plus 3%, but positives being primarily cards, deposits, GICs. In particular the areas that were a greater challenge were brokerage and mutual funds, those that were far more impacted by the environment.
Jim Bantis - Credit Suisse: Sonia, when you’re referring to that plus 3% that’s inclusive of wealth management and FirstCaribbean?
Sonia Baxendale: Not FirstCaribbean, but wealth management.
Operator: Your next question comes from Brad Smith - Blackmont Capital.
Brad Smith - Blackmont Capital: I was just wondering if you could quickly review for me again the approach taken to the fair value determination, particularly in the non-residential, U.S. residential mortgage bucket on the credit default slots, the $2.4 billion.
Gerry McCaughey: We’re now on the slide that’s around the same page here. You’re looking at the slide 10 and the non-US RMM?
Brad Smith - Blackmont Capital: I was actually looking at your shareholder report, but yes that’s right the 2.4, the fair value calculation there. I’m just trying to get a sense for what your inputs are for that valuation, not for the hedged valuation like for the value adjustments, but for the actual fair value of the underlying.
Gerry McCaughey: So just as Tom has processed the review monthly just by the nature of these assets, these we call them level three assets where we can’t look to market reserve able pricing. So, the process is a broker quote process, so once per month we go into the market and get indications of pricing and that’s the basis upon which we get a sense of the market or the fair value as you put it of the underlying.
Brad Smith - Blackmont Capital: Okay and can you update that for us for August, because I think that these are for July, if you’re doing it monthly. What’s the aggregate number?
Gerry McCaughey: At the end of each month, we have been releasing the inter months period, but even if I wish to, I couldn’t at this point, because we got to get to the end of August and then there is some year-to-dates after that where we get quotes and so forth, so that process wouldn’t unfold until sometime after Labor Day.
Brad Smith - Blackmont Capital: So just to be clear, all of those are level three and you go into the market to get quotes to meet them.
Gerry McCaughey: That’s right.
Operator: Your next question comes from Michael Goldberg - Desjardins Securities.
Michael Goldberg - Desjardins Securities: In connection with the impact of the increase in risk-weighted assets and you basically got the counterparty exposure elevated by the 400% risk rating here, can you tell us under Basel II, what's the maximum risk rating that these types of exposures could go to?
Gerry McCaughey: Of course it’s a set amount; under Basel II it could go to 1,250. So quite a substantial amount, but these once are at as you say roughly 400%.
Michael Goldberg - Desjardins Securities: One of the things I was trying to figure out was the total impact of ineffective hedges on earnings this quarter, in other words the ACS 3855? Can you give me some idea of what that impact on earnings was?
Gerry McCaughey: Those are the impact in effective hedges. On that front Michael I would have to get back to you and what we’ll do is in a sense that when we discuss that you and I, for some reason I figure it will be to the benefit of the other participants. We’ll post that onto our frequently asked questions. So, anything that comes out of that we think it will be of interest to the broader audience. For those listing we will post that onto the frequently asked questions section.
Michael Goldberg - Desjardins Securities: I will tell you why I ask. It’s because from discussions I’ve had previously it seems to be a number of other data items that you do release and the numbers that I guess suggest that have actually made a fairly significant contribution to earnings in the latest quarter, but I just wanted to confirm that.
Gerry McCaughey: Okay, well that will require a bit of follow-up, but that doesn’t ring a bell so to speak, so let’s look at it and if that’s the case we’ll make sure it’s posted through on and you can see the details?
Operator: Your next question comes from Sumit Malhotra - Merrill Lynch.
Sumit Malhotra - Merrill Lynch: Firstly, on the counterparties on the hedged exposure, the bank has been relatively conservative here in using market quotes throughout 2008 on both the underlying and the counterparties staying with that considerable conservatism. Can you talk to perhaps the use of realized deals in the market transactions that you’re seeing with some of your counterparties and how using marks of that level would differ from the levels we see in the July data today?
Gerry McCaughey: Yes, let me make a couple of comments and the rest of my team can follow up if they would like. What we’ve done is use broker quotes for the underlying and current credit spreads for some monolines and we’ve got a couple of advantages. One, with the monolines it’s a highly volatile space, so current spreads do give the market view at that point in time which is as I say view the volatility and that current indication is a good thing to have. Second things and this is one of the main points of value I guess for us and hopefully for those who follow the bank. By using current market spreads on the monolines it gives a very good sense of what we’ll likely be doing with our credit valuation adjustment. So during the quarter you and anyone else who are striking the bank can get a sense of what the CVA status would likely be during the course of the quarter. So that’s a mechanism that can be tracked and I think is helpful for both of the parties. The benefits as I outlined are current credit spreads and if we have enough merit we would stick with that, but if we get to a point where there is the restructuring or we just have a view of what our ultimate recovery would be, that’s when we’d take over to using that as the basis for determining the provision just like we did with our one counterparty, some number of months ago.
Sumit Malhotra - Merrill Lynch: Obviously with certain of your counterparties it would seen that the final two days of the quarter certainly were a key driver in helping those credit spreads come along and my point would be, if you get the view here as these things go through restructuring or any kind of negotiations that you’re undergoing, that the amount you’ll actually collect from these counterparties would be a lot less than those spreads are indicating, it would seem given the conservatives in the bank as employed all year and marking the book, that would be a better way to go in my view, anyway.
Gerry McCaughey: No, I think that’s a fair point. I guess my comment is it’s such an advantage to use the market indicated rates, that they just don’t require or allow for judgment on our part, but to your point there is no doubt that if we got to a point where we really thought based on the knowledge we have that our recovery would be less than what those spreads were leading us to, we would forced to and it will be appropriate to make sure we take the right conservative position.
Sumit Malhotra - Merrill Lynch: Okay, very quickly here on lending related credits, you mentioned the credit cards; the other up-tick seemed to be in business services. If someone could just let us know what’s happing there and what exactly this category encompasses and then secondly on the real estate finance in the U.S. looks, it like a $1.9 billion commitment outstanding, your impairment trends looks very good, just any kind of update on watch list or formations you’re seeing there for the business services in the U.S. real estate finance? Thanks.
Tom Woods: Business service is a very broad category and we and the other banks go by SIC Codes. As it happened this quarter we had a couple of small provisions there in the hotel and other services areas. In the hotel you might not think of being business services, but that’s the SIC Code for that. So, we had a couple of transactions in the US that we’ve taken what we think are prudent provisions there. So that’s the up-tick there and that’s the business that we’re not actively engaged in any longer and we don’t have big positions, but the two of them we had were there. The U.S. real estate finance; we’ve got a summary in the MD&A and that just maybe to elaborate a bit on that because this is a business we continue to feel very good about not withstanding the press that you see on U.S. commercial real estate. The reason we feel very good about it and I’ll ask Richard to add if he likes, is the properties we have are very diverse. About three quarters of them were entered into after June ’07, so these are post correction. Virtually all of the loans are relationship driven as opposed to competitive driven and that’s the function of the fact that our team has been place there since the mid 90’s. We have as you say about a $1.9 billion, loan-to-values are very low and again that’s the function of the relationship, we’re typically in the low 60’s. Maybe I will just stop there and is that’s enough for you.
Operator: Your next question comes from Mario Mendonca - Genuity Capital Markets.
Mario Mendonca - Genuity Capital Markets :
David Williamson: Primarily, the strength in OpEx. On the last day of the month of the quarter we actually took a hit on spread, that’s like a big one, but...
Mario Mendonca - Genuity Capital Markets : I’m talking about on the subprime side.
David Williamson: Actually, it’s pretty universal, but I guess the best way to answer that is you look at the spreads in relative to the ratings and you can see some very abnormal kind of situations, but frankly the spreads have proven to be the one kind of objective parameter as to what all the collective views of all the people in the market think that this could play out and it tends the events will happen. Some of you have taken off lots or put on lots and the spreads might not move in the same alignment and then when you get into restructuring and capital injections and such force again from a fundamental perspective, well that would cause you to want to do more or less provisioning, but the problem is introducing that kind of a judgment. Then the other problem is that it detracts from the process we have now where you and others can say during that quarter or at the end of the quarter, this is were I think roughly the bank’s going to be and kind of the rational for it as opposed to a judgmental overlay. To Sumit’s point with regard to restructuring that to the level where we had a pretty good sense of what our recovery would be and if that’s in sync with what we’ve got in the book, we would shift and we’ve done that before with the one counterparty and if we had a view as a result of being involved in restructuring and so forth that we had too much on our book so to speak. Again to his point conservatism would drive us to make an adjustment.
Mario Mendonca - Genuity Capital Markets : Could you let us know whether the bank is willing and perhaps even actively trying to negotiate with some of the key monolines, perhaps like an SCA. Is that something that’s ongoing?
David Williamson: I guess to make a couple of comments we haven’t indicated the names of any of the monolines, so I need to be cautious about any comments regarding SCA’s on the different monolines. Now the one thing that when we’re speaking about credit valuations and sets forth, some of the aberrations are especially this quarter we took fairly big CVA’s on monolines that are still AAA and recently affirmed on a AAA. So I guess that speaks to the comment regarding conservatism.
Mario Mendonca - Genuity Capital Markets : David I was asking if you were discussing, terminating any of these agreements with any of the monolines and if you can’t answer them I guess (Inaudible)?
David Williamson: No that’s as far as activities regarding restructuring so far Gerry’s indicated before discussions are underway but I really can’t speak to that.
Mario Mendonca - Genuity Capital Markets : Okay let me just actually wrap up with just one other thing; on the non-subprime, you’ve give us a really good disclosure on the sort of ranges of first loss protection and all that stuff and this is something I’ve been confused about for a while. It seems really hard to imagine that there can be a 10% valuation adjustment, like a 10% mark-to-market charge on that say $25 billion notional given how much first loss protection there is and I understand you’re going to broker quotes and broker quotes are what they are, but it just seems inconceivable that with those search of first loss protection that there could be any charges there at all, there could be any market value adjustment at all. So, I guess what I’m asking is, is there something we don’t understand about that notional amount, specifically on the first loss? Is there any reason why brokers, the ones providing the quotes really don’t put a value on that first loss protection? Is there something we don’t really understand that would give rise to that 10% charge or 10% valuation? Because on the surface common sense tells you there shouldn’t be any valuation adjustment on that; could you help to clarify?
Tom Woods: The first answer is I think you’re right and with universal support here, your comments that these quotes are getting to places that I think are hard to justify and it speaks to I guess a couple of things. So, the upshot is, I think you’re right; form a fundamental basis it is surprising. Hence we put that data into the MD&A, so that people can see the level of subordination and we can help them kind of get to position what you’ve concluded, but I guess in answering your question there isn’t anything that you’re missing that we are aware of, that should cause you to change your fundamental perspective.
Mario Mendonca - Genuity Capital Markets: And that’s ultimately the question; is there anything we don’t know that someone else does, like the broker quotes for example, the brokers actually providing the quotes. Is there anything we don’t know that someone else does that would justify that kind of market; I think your answer to me here is, no.
Tom Woods: Nothing that we are aware of that has been missing; hence we are trying to maximize the disclosure so that people can reach that kind of best possible view.
Mario Mendonca - Genuity Capital Markets: Okay, but you understand why it’s confusing?
Tom Woods: I absolutely do and as you know the quarter moved and again there is no reason for us to see that kind of shift and again other than supply and demand and that’s was driving how we value it.
Operator: Your next question comes from Ian De Verteuil - BMO Capital Market.
Ian De Verteuil - BMO Capital Market : Tom, the spike in loan losses on the card book, can you tell us how much of that is due to the recapture of the big securitization?
Tom Woods: We haven’t got into that granularity, but roughly speaking if you look at the 110 provision we took in cards in Q3 versus the 68 last quarter, that’s the 44 delta, about half of it was due to volume and the other half was split pretty evenly between the securitization coming back on, both in absolute terms and relative terms and rate increases. So the rates would be well less than a half, probably well less than a third as well.
Ian De Verteuil - BMO Capital Market : When you say rate you mean the delinquencies?
Tom Woods: No, no. I mean higher delinquencies which translate into higher provisions and slightly higher bankruptcies.
Ian De Verteuil - BMO Capital Market :
Tom Woods:
Ian De Verteuil - BMO Capital Market : Right, so again for one that’s rated CCC; one would think you have a huge multiply on that? So, if you wrote off a $1 billion in a CCC name as you say the receivable wouldn’t be there anymore, so the multiplier wouldn’t be there?
Tom Woods: Correct, and the multiplier in the case of an internally rated CCC as David said before is 12.5 times, so it’s very large. That’s the point Gerry tried to make in his…
Ian De Verteuil - BMO Capital Market : So, why is it only 50% then? If you take a dollar of VA hit and lets say it’s tax effected so its 70% of that number, shouldn’t you get a multiple of that on the RWA front, not a fraction of if on the RWA front?
Tom Woods: I’m sorry and you do get a multiple of that. In other words if you have a CCC with the receivable of a dollar, you have RWA’s of 12.5 times that.
Ian De Verteuil - BMO Capital Market : Right, but I think Gerry said in his comments that for every VA charge I think you said you got half of it back on the RWA’s, that’s what I’m saying; it seems to me as if it’s multiples not fractions?
Gerry McCaughey: If you look at that table and again it would depend upon our internal ratings, your counterparty five that you were looking at as you can see there are a variety of ratings beside that counterparty from a BBB minus, which is low level investment grade all the way to the CCC that Tom saw. So clearly when you work back, since the net receivable here is the $1.873 billion minus the $807 million, that means the net receivable is about $1 billion and so clearly we are not internally rating it at a level of 12.50. At 12.50 is when there is no value left whatsoever and you’ll be running off that 100% and roughly the way that’s arrived at is if you workout 12.50 times 8%, it comes to a 100% capital allocation. Clearly, our internal rating is some amalgam of the BBB minus, the B2 and the CCC because otherwise if we were at 12.5 that’s when a loan would have gotten $12.5 billion of risk weighted assets and since that’s the total that we have and that obviously could not be the case. If you took something in the vicinity of the average risk-weighting because I’m not going to get into each of these counterparties, you know the total exposure is 2.9 ‘ish of net receivables and the RWA allocation is in 12 in change. There is a lot of puts and takes in here, but that would allow you to come to something like a fore factor and again I’m not telling you that’s the factor for this, but if you use our macro numbers and derive a factor, a fore factor would not be too bad. I think what you’re trying to get at, is that if the fair value was 1873 and the VA is 807 the net receivable is $1 billion ‘ish. The $1 billion ‘ish if you use the 400% means that we have $4 billion of RWA designed against that. If that gets written off, several things happened; the first is that you would have a net charge assuming a 30% tax rate, again I’m not tell you what the tax rate is, just using an assumption, you would have a net charge that would filter through the capital of $700 million okay. You would have a relief in your Tier 1 capital of the $4 billion of RWA’s. They would disappear as a result of the write-offs and if you look at the net capital effect again at 8%, you would have $320 million of capital release in your Tier 1. So, that’s why you come to somewhere in the vicinity of 50% impact. Does that add up for you Ian?
Operator: Your last question comes from Darko Mihelic - CIBC World Markets.
Darko Mihelic - CIBC World Markets: My question has to do with the expense base at CIBC and I guess this question is for Gerry. Looking at your slide 24, on expense objectives you’re obviously ahead of it, just wondering when I still look at it; however, you’re not near the median for the productivity ratio, I mean we’ve only had three banks report so far, but by my numbers it looks like you still are off of get the median. I’m wondering if you can give us any sort of idea if about a $1.7 billion expense base, is an appropriate one to think about for CIBC going forward in light of some of the headcount reduction we’ve at World Markets?
Gerry McCaughey: Well, there are two things; is that, we’ve got the median mix as a strategic objective and it’s been established before because it’s an evergreen objective and also because as the competitors move so to shall we move and there is also a reasonability to the medium and there’s a variety of ways to get to the expense target. In recent years, we had several programs and those programs I think we were fairly successful in meeting the target. Our expense targets today are mainly derivations of two things. Number one, if business activity has declined in certain areas and therefore we feel there is an opportunity to right-size expenses against reduced business conditions, we would do that, but more importantly what in the next while we’re going to be pursuing is the fact that we have exited a number of businesses that have that fair amount of infrastructure support behind them. When you exit the businesses you don’t automatically have all of the infrastructure reductions come in simultaneously, because some of it requires moving two plants to one city in order to combine them for purposes of technology and that sort of thing and so basically what we’ve been doing in recent times is we’ve been absorbing all of the inflationary impact of cost increases in rents and other areas and holding our expenses flat or better to the target that we set, which was Q4 of ’06. Our intention is through an ongoing program of expense disciplines with a big focus on right-sizing infrastructure in light of business exits, our view is that we are going to be targeting to keep our expenses on the flat side and we believe that where we are lagging today is on the revenue side overall for the bank, in terms of getting onside from a median next view point. Expense discipline; we will mean that every revenue dollar of increase will be that much more productive, but we do believe that a total of the line on expenses is our strategy now and we’ve been fairly successful at it and make sure that we have a revenue approaching industry growth rates or in the case of the last year some areas in the industry have shrunk and we’d like to make sure that we’re not shrinking more than those areas. As long as it’s appropriate for our risk appetite because in some areas our risk appetite is not the same as the industry at flat. But the short answer is there are continuing opportunities as a result of business exits and the trailing expense savings that we can get from infrastructure, but that is not the primary area in terms of getting ourselves to our strategic targets it’s a necessary, but not sufficient condition to hold expenses flat. The key element there is to grow our revenues and to catch up with the industry.
Operator: There are no more questions at this time.
John Ferren: Thanks everyone for joining us and we look forward to future discussions. Thank you.